Operator: Ladies and gentlemen, thank you for standing by, and welcome to the second quarter 2014 earnings teleconference. [Operator Instructions] And as a reminder, today's teleconference is being recorded. I would now like to turn the conference over to Mr. Eric Durant. Please go ahead.
Eric Durant: Thank you, Cynthia. Thank you for joining our call. We hope we're not interrupting your summer vacation. Representing Prudential today are John Strangfeld, CEO; Mark Grier, Vice Chairman; Rob Falzon, Chief Financial Officer; Charlie Lowrey, Head of International Businesses; Steve Pelletier, Head of Domestic Businesses; and Rob Axel, Controller and Principal Accounting Officer. In order to help you to understand Prudential Financial, we will make some forward-looking statements in the following presentation. It is possible that actual results may differ materially from the predictions we make today. Additional information regarding factors that could cause such a difference appears in the section titled Forward-looking Statements and Non-GAAP Measures of our earnings press release for the second quarter of 2014, which can be found on our website at www.investor.prudential.com. In addition, this presentation may include references to adjusted operating income or to earnings per share, or EPS; or return on equity, or ROE; which are determined based on adjusted operating income. Adjusted operating income is a non-GAAP measure of performance of our Financial Services businesses that exclude certain items. Adjusted operating income is not a substitute for an income determined in accordance with generally accepted accounting principles, GAAP, and the excluded items are important to an understanding of our overall results of operations. For a reconciliation of adjusted operating income to the comparable GAAP measure, please see our earnings press release on our website. Additional historical information related to the company's financial performance is also located on our website. Over to you, John.
John Robert Strangfeld: Thank you, Eric. Good morning, everyone. Thank you for joining us. The central message today is that we had strong results in the second quarter, and we are on pace to achieve our goals for the year. While we've clearly benefited from some tailwinds, including strong investment results and favorable mortality, business fundamentals are the main driver of our improving results. We think it's significant that each of our divisions produced higher earnings than a year ago. Mark and Rob will review the quarter in greater detail in a few minutes, but here are a few highlights. Our Asset Management business achieved its 27th consecutive quarter of positive institutional flows. Also, retail flows were positive. Sustained growth in assets under management is driving growth in asset management fees and in operating income. Our Annuities business has benefited from a sustained period of favorable equity markets, which has driven higher earnings, improved returns and a lower risk profile. We are very comfortable with the expected profitability, as well as the risks of the products we are selling today. Over time, we expect the risk profile of this business to improve as the composition of our block gradually shifts to products with less equity market exposure. Retirement continued to produce outstanding results, largely because of strong investment spreads, including a contribution from non-coupon investments that was modestly higher than our average expectation. Although we recorded no pension risk transfer transactions in the second quarter, we completed 3 PRT deals in July, including a landmark longevity reinsurance transaction, which will hit our books in the third quarter. We continue to believe that PRT, both funded transactions like GM and Verizon, as well as those where we solely reinsure longevity risk, is an attractive business opportunity for Prudential. Individual Life Insurance and Group Insurance both achieved higher adjusted operating income this quarter. In Individual Life, the Hartford integration continues on track, and expense synergies contributed to the positive earnings result this quarter. In Group Insurance, experience was more favorable than a year ago in both life and disability. We are confident that Group Insurance is on the right track, but improvement will not be linear. Finally, International Insurance recorded solid results in the face of difficult sales comparisons and currency headwinds. Life Planner results benefited from sustained business growth and improved claims experience. Gibraltar's earnings topped $500 million for the first time, modestly above the strong result a year ago and a seasonally strong second quarter. Productivity in the Life Consultant channel is back to pre-acquisition levels, and the rate of decline in agents is slowing. And over time, we expect the number of life consultants to stabilize and then to grow, and that will give the business a further boost. So overall, we feel very good about our quarter and our business trends. And with that, Mark, over to you.
Mark B. Grier: Thank you, John, and thank you, Eric. Good morning, good afternoon or good evening. And thank you, all, for joining our earnings call today. I'll take you through our results for the quarter. And then, I'll turn it over to Rob Falzon, who will cover our capital and liquidity picture. Using Slide 2, I'll start with an overview of our financial results for the quarter. On a reported basis, common stock earnings per share amounted to $2.49 for the second quarter based on after-tax adjusted operating income of the Financial Services businesses. This compares to EPS of $2.30 a year ago. After adjusting for market-driven and discrete items in both the current quarter and the year-ago quarter, EPS was up by 12%, amounting to $2.51 compared to $2.24 a year ago. This is largely the result of 4 things: first, higher fees, mainly driven by growth in account values and assets under management in our Annuities and Asset Management businesses; second, improved claims experience in our Group Insurance business; third, continued growth of our International Insurance business; and fourth, lower net expenses in several of our businesses. On a GAAP basis, we reported net income of just over $1 billion for the current quarter compared to a loss of $517 million a year ago. The loss in the year-ago quarter reflected the accounting impact of foreign currency remeasurement of non-yen liabilities on the books of our Japanese insurance companies, which was driven by weakening of the yen, as well as negative mark to market on derivatives we use in duration management driven by rising interest rates. In the current quarter, the yen was relatively stable in relation to the U.S. dollar and other currencies in which we offer insurance products in Japan, and the impact of interest rate changes on our duration management derivatives was more moderate. As a result, our current quarter GAAP net income is fairly consistent with our after-tax adjusted operating income. We consider the foreign currency remeasurement that affects our net income to be essentially an accounting presentation mismatch because we hold currency-matched assets to support the non-yen liabilities of our Japanese insurance companies. And the impact of currency exchange rate fluctuations on the liabilities runs through the income statement, while the offsetting impact on the assets is included in accumulated other comprehensive income, or AOCI. Book value per share, excluding AOCI and after adjusting the numbers to remove the impact of this mismatch, amounted to $63.67 at the end of the second quarter, up by $3.68 from year-end after the payment of 2 quarterly dividends totaling $1.06 per share. We also evaluate our ROE performance after adjusting for this accounting presentation mismatch, which benefited our reported ROE by reducing the denominator. After removing this benefit, along with the impact on results from market-driven and discrete items, our annualized return on equity for the first half of the year would be about 16%. This reflects solid underlying performance across our businesses, with a tailwind from strong non-coupon investment results, particularly in the first quarter, and some seasonality that favors the first half in International Insurance. On Slide 3, we have a very short list of market-driven and discrete items included in our results for the current quarter, with a net unfavorable impact of $0.02 per share. In the Annuities business, the impact of a decline in interest rates in the quarter exceeded the benefit of favorable performance of equities and our market-driven adjustments. We strengthened our reserves for guaranteed minimum debt and income benefits and adjusted DAC, resulting in a net charge of about $0.01 per share. And in Individual Life, we absorbed integration costs of about $0.01 per share related to the Hartford Life acquisition. During the year-ago quarter, market-driven and discrete items produced a net benefit of $0.06 per share, mainly driven by a favorable reserve and DAC update in the Annuities business. Turning to Slide 4. On a GAAP basis, our net income of just over $1 billion in the current quarter includes amounts characterized as realized investment losses of $273 million pretax, comprised of the items that you see on this slide. Product-related embedded derivatives and hedging activities had a negative impact of $365 million, driven by a mark-to-market on our GAAP liabilities for variable annuity living benefits, reflecting the decline in interest rates in the quarter. Foreign currency remeasurement resulted in a pretax loss of $231 million for the current quarter. This reverses a gain of the same amount that we had in the first quarter. Impairments and credit losses on investments were $27 million for the quarter. Going the other way, general portfolio activities, mainly in our International Insurance operations, resulted in next -- net pretax gains of $199 million. And mark-to-market on derivatives, mainly related to asset and liability duration management, resulted in a $151 million pretax gain, also largely driven by the decline in interest rates. Moving now to our business results and starting on Slide 5. Slide 5 shows our U.S. Retirement Solutions and Investment Management businesses. This is a view of the results of these businesses showing the adjustments to results for the Annuities business that we would make from market unlockings and experience true-ups. Slide 6 highlights the Annuities business. After adjusting for reserve and DAC updates, Annuities earned $394 million for the quarter, an increase of $69 million from a year ago. Turning to Slide 7. Most of our operating earnings in the Annuities business come from base contract charges linked to account values. At the end of the second quarter, account values were just under $160 billion, with market appreciation driving a 13% increase from a year ago. The resulting increase in fee income was the leading cause of the earnings growth from the year-ago quarter. In addition, the rising account values have lowered the prospective costs of guaranteed death and income benefits associated with our contracts and have contributed to a more favorable DAC amortization rate, resulting in a reduced drag from charges for benefit costs and base amortization. These developments have contributed to a higher margin for the business, compounding the increase in fees to produce a 21% increase in earnings from the year-ago quarter. Slide 8 presents Individual Annuity sales. Our gross annuity sales for the quarter were $2.7 billion, up roughly $200 million from a year ago. As you see on this slide, the mix of our sales has changed significantly, reflecting our strategy to broaden the choices we can offer to retirement-focused clients and their advisors, while diversifying our risk exposure. Sales of our Prudential-defined income, or PDI, product, shown in the light blue portions of the pie charts, amounted to $530 million in the quarter or about 20% of overall sales. PDI directs a client's entire investment to a separate account fixed-income portfolio that we manage, and the product provides a guaranteed lifetime income amount, which is determined by applying an income payout rate based on the client's age at the time of purchase to the premium pay. The payout percentage grows at a contractual roll-up rate until lifetime withdrawals begin. The design of PDI allows us to change both the income payout rates and the roll-up rate for new business on a monthly basis, enabling us to keep pricing in sync with changing market conditions. For example, a purchaser of PDI today would receive a 50-basis-point lower roll-up rate and a lower initial payout rate than in the first quarter, since our current pricing gives effect to recent interest rate declines. Sales of our highest daily suite [ph], or HDI, products, shown in the dark blue portion of the pie charts, accounted for $1.9 billion of our current quarter sales compared to $2.1 billion a year ago. Substantially, all of the current quarter sales represent our current-generation product, HDI 3.0, which we introduced in February of this year. Similarly to PDI, HDI 3.0 allows us to change key pricing elements, including the roll-up rate for the protected withdrawal value that determines the base for lifetime income and withdrawal percentages for various age bands as often as monthly for new business. The remainder of our current quarter sales, about $300 million, represents Annuities without living benefit guarantees. To further broaden our product portfolio and enhance the solutions we can offer to client focused on tax-deferred asset growth potential, in April, we introduced our Prudential Premier investment variable annuity product, which does not offer these guarantees and unbundles guaranteed minimum death benefits as an optional add-on. Slide 9 highlights Retirement. The Retirement business reported adjusted operating income of $286 million for the current quarter, an increase of $7 million from a year ago. The increase came mainly from a greater contribution from net investment results. Current quarter results benefited by approximately $30 million from actions we've taken, mainly in the second half of last year, to reposition the portfolios supporting our pension risk transfer business, essentially migrating a portion of the portfolio from public fixed-income investments to private fixed income and commercial mortgages, consistent with our asset and liability management strategy for this business. This benefit was largely offset by lower income from non-coupon asset classes compared to a year ago. Returns on these investments exceeded our average expectations by about $10 million in the current quarter and exceeded our expectations by about $35 million in the year-ago quarter. Shown on Slide 10, total retirement gross deposits and sales were $6.6 billion for the current quarter compared to $8.1 billion a year ago. Full Service gross deposits and sales were $5.5 billion for the quarter compared to $3.7 billion a year ago. Attractive large case opportunities in the full service market are lumpy, leading to a variable sales pattern from one quarter to another. For example, during the first quarter of this year, we closed 5 case sales of over $100 million each, including a major case win for $2.6 billion, while current quarter new sales plans included only one case over $100 million, and the year-ago quarter had no case sales of that size. We had net outflows of $1.5 billion in Full Service Retirement for the current quarter, reflecting elevated plan lapses, including the impact of client merger and acquisition activity. Stand-alone Institutional gross sales were $2.1 billion in the current quarter compared to $4.4 billion a year ago. Current quarter sales included $1.1 billion of stable value wrap products, while the year-ago quarter included $3.5 billion of those sales. Taking advantage of a market opportunity over the past several years, we have grown the book of this fee-based business to over $70 billion. We are now seeing greater competition in the market for these products, with an increase in the number of wrap providers. Our stand-alone Institutional business had net outflows of $2.5 billion for the quarter, including withdrawals by stable value wrap clients seeking provider diversification. In addition, ongoing benefit payments on pension risk transfer cases reduced account values. Total Retirement account values amounted to $330.5 billion at the end of the second quarter, up by $29 billion from a year ago. Slide 11 highlights Asset Management. The Asset Management business reported adjusted operating income of $200 million for the current quarter compared to $172 million a year ago. The $28 million increase in earnings was mainly driven by higher asset management fees net of expenses, reflecting growth in assets under management. The segment's assets under management amounted to $921 billion at the end of the second quarter, including $547 billion managed for institutional and retail clients. This represents a 16% increase in third-party assets under management from a year ago, driven by market appreciation, along with about $15 billion of positive net flows over the past year. Current quarter results also benefited from an $11 million greater contribution from the segment's other activities. Slide 12 presents the results of our U.S. Individual Life and Group Insurance businesses, showing the adjustments to Individual Life results for integration costs relating to the Hartford acquisition. Slide 13 highlights Individual Life. After adjusting for integration costs, Individual Life reported earnings of $166 million for the current quarter compared to $152 million a year ago. The increase in earnings reflects a greater contribution from net investment results, mainly driven by portfolio growth and lower expenses. The integration of the business we acquired from Hartford is well on track, and on a run rate basis, the current quarter benefited from realization of about 3/4 of our targeted $90 million of annual cost saves. Claims experience was favorable both in the current quarter and the year-ago quarter. The contribution to current quarter results from mortality experience, together with reserve updates, was about $15 million more favorable than our average expectation. Shown on Slide 14, Individual Life sales, based on annualized new business premiums, amounted to $103 million for the current quarter. This compares to sales of $184 million a year ago. The decrease was mainly driven by a $75 million decline in sales of guaranteed universal life insurance products, shown in the dark blue bars. This sales decline reflects actions we've taken to limit concentration in these products and to maintain appropriate returns, including a series of price increases. In addition, a number of competitors have taken steps to make their products relatively more attractive, and several companies have recently entered or increased their presence in the guaranteed universal life market. Term insurance sales, in the light blue bars, were down by $7 million from a year ago, reflecting price reductions by several competitors. In July, we announced pricing changes on several of our guaranteed universal life and term insurance products, allowing us to enhance our competitive position where we see opportunities to offer attractive value propositions with appropriate expected returns. Slide 15 highlights Group Insurance. Group Insurance earnings amounted to $46 million in the current quarter compared to $22 million a year ago. The increase was driven by more favorable claims experience both in disability and life. This is presented on Slide 16. In Group Disability, favorable current quarter claims experience drove an improvement of 9 percentage points in the benefit ratio compared to the year-ago quarter. This contrasts to an adverse fluctuation in the first quarter. While we've enhanced our claims management capabilities and are continuing to make progress in repricing cases as they renew, experience will vary from one quarter to another, and improvements won't be linear. Slide 17 presents the International Insurance division. Slide 18 highlights our Life Planner business. Our Life Planner business reported earnings of $382 million for the quarter, up $14 million from a year ago. Results continue to benefit from sustained business growth. On a constant-dollar basis, insurance revenues, including premiums, policy charges and fees, were up by 5% from a year ago. In addition, the current quarter benefited by about $20 million in comparison to a year ago from improved claims experience. We estimate that the mortality contribution to current quarter results was about $10 million more favorable than our average expectations. Higher expenses, driven mainly by technology and distribution costs, partly offset the benefits of business growth and improved claims experience. In addition, foreign currency exchange rates, which reflect our hedging of the yen income at JPY 82 this year versus JPY 80 last year, had a negative impact of $3 million on earnings in comparison to a year ago. Slide 19 highlights Gibraltar Life. Gibraltar Life reported earnings of $502 million for the current quarter, up $14 million from a year ago after adjusting for integration costs. The current quarter benefited from lower net expenses than a year ago, including some nonlinear items, such as fixed asset sales and technology costs. The current quarter also benefited from a greater contribution from net investment results, mainly driven by improved spread on fixed-income investments. Going the other way, policy benefits experience, including mortality and surrenders, was less favorable than in the year-ago quarter. While mortality was somewhat more favorable than a year ago, with a current quarter contribution about $10 million greater than our average expectations, the year-ago quarter benefited by about $30 million from gains on an elevated level of surrenders of non-yen fixed annuities. In addition, foreign currency exchange rates had a negative impact of $11 million in the comparison of results to a year ago. Turning to Slide 20. International Insurance sales, on a constant-dollar basis, were $769 million for the current quarter compared to $827 million a year ago. This is a product view of our sales. Our sales pattern has been affected by actions we've taken, including changes in our product lineup and commission rates. In addition, the seasonal sales trend favors the first quarter for our Japanese Life Planner business and the second quarter for Gibraltar Life. Our yen-based single-premium bank channel product, which we discontinued late last year after opportunistic sales of over $1 billion, contributed $62 million to sales of Gibraltar Life in the year-ago quarter, with minor residual sales through the fourth quarter of last year, as you can see in the brown bars. In December of [indiscernible], we've reduced commission rates on the yen-based retirement income products sold by our Prudential of Japan Life Planners in order to limit concentration. This product, shown in the gold bars, contributed $29 million to current quarter sales, down $28 million from a year ago. Sales of all other products, including those denominated in U.S. dollars, increased by $32 million in the current quarter from a year ago. This includes a $10 million increase in sales of our U.S. dollar-denominated whole life and retirement income products, shown in the light blue bars. Slide 21 shows Life Planner sales. Life Planner sales were $290 million in the current quarter compared to $277 million a year ago. Sales by our Life Planners in Japan were $185 million in the current quarter, down by $21 million from a year ago. In the gold bars, you can see the $28 million decline in sales of the yen-based retirement income product, affected by our change in commission rates that I mentioned. This more than offset an increase of $7 million or 5% in sales of other products, shown in the dark blue bars. Sales outside of Japan, in the light blue bars, were up by $34 million from a year ago, mainly driven by increases in Korea and Brazil. Slide 22 shows Gibraltar sales. Sales from Gibraltar Life were $479 million in the current quarter compared to $550 million a year ago. Sales by Life Consultants, in the dark blue bars, amounted to $232 million for the current quarter, down $24 million or 9% from the year-ago quarter. Our Life Consultant count has declined by about 1,100 or 11% from a year ago, as we implemented minimum production requirements and other quality standards for the sales force that came to us with the Star and Edison acquisitions. In addition, the sales comparison is affected by accelerated purchases of a number of our Japanese yen-based products in advance of price increases in April of last year, which resulted in sales that were reported in the second quarter of last year. Sales through the bank channel, shown in the gold bars, amounted to $167 million for the current quarter, down $51 million from a year ago. This decrease reflects the $62 million of sales of the discontinued single-premium product in the year-ago quarter that I mentioned, partly offset by an $11 million increase in sales of other products. We are emphasizing recurring-premium Death Protection products and life insurance policies with premium-paying periods of 10 years or longer comprised about 1/3 of overall current quarter sales in the bank channel compared to just over 10% a year ago. Sales through independent agents, shown in the light blue bars, amounted to $80 million in the current quarter, up modestly from a year ago. Moving to Slide 23. Corporate and Other operations reported a loss of $341 million for the current quarter. This compares to a $331 million loss a year ago after adjusting for a write-off of bond issue costs. The increase in the loss reflects higher net expenses in the current quarter, including the impact of a lower pension credit. The benefit of lower interest expense reflecting our refinancing of high coupon debt last year was a partial offset. Now I'll turn it over to Rob.
Robert Michael Falzon: Thanks, Mark. I'm going to provide you an update on some key items under the heading of Financial Strength and Flexibility. Starting on Slide 24. We continue to manage our insurance companies to levels of capital that we believe are consistent with AA standards. As of year-end, Prudential Insurance reported an RBC ratio of 456%, with total adjusted capital, or TAC, of $13.9 billion. While we don't perform a quarterly bottoms-up RBC calculation, we estimate that our RBC ratio continues to be well above our 400% target at Prudential Insurance, after giving effect to the results for the first half of the year. In Japan, Prudential of Japan and Gibraltar Life reported strong solvency margins of 777% and 955%, respectively, as of March 31, their fiscal year-end. These reported solvency margins are also well above our targets. Looking at the overall capital position for the Financial Services businesses on Slide 25. We calculate our on-balance sheet capital capacity by comparing the statutory capital position of Prudential Insurance to our preset RBC ratio target and then add capital capacity held at the parent and other subsidiaries. As of year-end, we estimated that our on-balance sheet capital capacity was about $3.5 billion, including about $1.5 billion that we considered readily deployable. During the first half of this year, we've returned about $1 billion to shareholders. These returns came in the form of quarterly common stock dividends of $0.53 per share in each quarter, for a total of about $500 million, and a repurchase of $500 million of our common stock. The net results of these returns of capital and the capital generated by our businesses in excess of their organic growth needs left us with available on-balance sheet capital capacity of over $5 billion, including about $1.5 billion that we consider readily deployable. Our $500 million of share repurchases in the first half of the year, including $250 million in the second quarter, completed the $1 billion of repurchases authorized under the program that ended on June 30 of this year. As you know, we announced a new $1 billion repurchase authorization in June, which extends through June 30 of next year. Turning to the cash position of the parent company. Cash and short-term investments, net of outstanding commercial paper, amounted to $4.1 billion as of the end of the second quarter. The cash in excess of our targeted $1.3 billion liquidity cushion is available to repay maturing operating debt, to fund operating needs and to deploy, over time, for strategic and capital management purposes. Now I'll turn it back over to John
John Robert Strangfeld: Thank you, Rob. And we would like to open it up for questions.
Operator: [Operator Instructions] And our first question will come from the line of Erik Bass with Citi.
Erik James Bass - Citigroup Inc, Research Division: I was hoping that you could provide some more details on the economics of the BT longevity swap transaction. And how should we think about the earnings contribution? Also, how do returns for longevity swaps compare to those for pension closeouts?
Stephen P. Pelletier: Erik, this is Steve. I'd be glad to address that. The returns on both longevity transactions and funded transactions are very much consistent with our corporate ROE objectives. In regard to looking at longevity deals, vis-à-vis funded deals, I'd point to 2 key distinctions. First would be the relative capital intensivity [ph] of these transactions. Obviously, every deal is different, and you need to account for that. But if you were going to use a general rule of thumb that said that longevity deals are about 1/5 as capital intensive per dollar of notional amount as funded deals, that would be pretty accurate. The key distinction there obviously being that, in longevity reinsurance, we're not taking on the assets and therefore, not taking on the credit risk that characterizes funded deals. The second point I would make is the emergence of earnings. The longevity reinsurance and funded transactions are highly complementary in this regard. So from both a strategic and a financial aspect, being active in both sides of the market in that regard is very attractive to us. Funded deals, the earnings level -- the annual earnings level gradually decreases over time. In longevity reinsurance transactions, the earnings emergence gradually increases over time. So those are the 2 key distinctions I would make.
Erik James Bass - Citigroup Inc, Research Division: That's helpful. So I guess, is the right way to think about then kind of a ballpark, maybe 1% to 2% of the amount swapped is a reasonable estimate for kind of the required capital?
Stephen P. Pelletier: Yes, I think that would be fair.
Erik James Bass - Citigroup Inc, Research Division: Okay. And then, I guess one follow-up is that we've seen a number of longevity swap transactions in the U.K. but very little activity in the U.S. And what do you think is driving this? And is there any reason that longevity swaps wouldn't become more prevalent in the U.S. over time?
Stephen P. Pelletier: I think the longevity market may well develop in the U.S. Certainly, the U.K. has been the leader in that. We also look for potential emergence of the longevity market in Canada, and the U.S. may well follow. But no question that, for us and for the market, in general, the U.K. has been the main leader in longevity reinsurance activity.
Operator: Our next question will come from the line of Jimmy Bhullar with JP Morgan.
Jamminder S. Bhullar - JP Morgan Chase & Co, Research Division: A couple of questions. First, on the earnings overall. Obviously, the $2.49 number was pretty strong. You mentioned in the release the DAC unlocking in Individual Annuity, also the Hartford Life integration costs. But wondering if you could just highlight some of the other items, whether they were seasonal or related to mortality, morbidity or non-coupon income that might have inflated the reported earnings numbers. And how do we think about earnings going from third -- second quarter to the third quarter? And I think, Mark, you mentioned some of those in your remarks, but if you could just highlight those. And then, secondly, on the Life Planner business. The Life Planner count was down this quarter, and it slowed -- the growth in that has slowed over the last few years. Can you still grow sales in the Life Planner business in Japan if your Life Planner count growth remains sluggish and remains in the sort of low-single-digit range?
Charles Frederick Lowrey: Sure. Jimmy, let me -- this is Charlie. Let me take the second one first, and then we'll get back to you on the first one. Let me go through the Life Planner count in Japan, and then I might just comment on the rest of the Life Planner count as well. But in Japan, when you think about Life Planners, there are really 3 ins and outs to the business, and you really have to peel back the onion and look at them. So first, there are the recruits and the terminations, how many people do you actually recruit during a quarter and how many people leave for a variety of reasons. And that was about normal. The second is, as you know, we take Life Planners and some Life Planners choose to become sales managers. And the sales manager's job is to recruit, develop and retain Life Planners. And so over time and in different quarters, you'll get a number of different Life Planners who choose to become sales managers. In this particular quarter, we had more Life Planners who want to become sales managers. That is actually a good thing for the future because we expect the increase in sales managers, over time, to help with Life Planner recruiting in the future. So that actually bodes well in the long term. The third area is when Life Planners go to the bank channel. And here, these are the secondies [ph] we actually introduce into the bank channel. And here, what we do is we take lower-performing LPs, or Life Planners, and give them the opportunity to become secondies [ph] in the bank channel. And as you know, we only hire 2 or 3 applicants out of every 100. We're extremely finicky about who we actually choose to become a Life Planner. And we train them incredibly well to perform 3 different tasks, and that's to prospect, present and to close. But if an LP fails, an LP usually fails because he or she can't prospect. That's the toughest part of the job. But in banks, they don't need to prospect. So as secondies [ph] to the bank, they can perform really well over time. And that's what's happened in this particular quarter as well, is we had more LPs go to become secondies [ph] in the bank channel. So as a result, Japan was down some. If these folks hadn't transferred, the growth rate would have been about the long-term average that POJ has, which is sort of 1% to 2%. But the growth rate isn't unlikely to materially accelerate in terms of hiring LPs because of the number of LPs we have and also our maniacal focus on quality. We're not going to change the quality of our hiring. But I think the long-term average has been sort of 1% to 2%. It'll probably be that way in the future as we go forward. And that's really Japan. In Brazil, it's a slightly different story. You have -- Brazil's up a lot, about 25%. So we have over 800 Life Planners. And there, we expect, in some of our other markets, we would grow Life Planners at a more rapid rate.
Eric Durant: Jimmy, it's Eric. Let me just take...
Jamminder S. Bhullar - JP Morgan Chase & Co, Research Division: And actually, just one follow-up on that. The sales have exceeded -- sales growth has done better than the Life Planner count has done recently. So can you keep that up? And do you see further improvements in that business, especially in Japan?
Charles Frederick Lowrey: I think you may see some improvement, probably not on the productivity side, because Life Planners already are at a very high level of productivity. On the premium side, over time, what we've seen is that there has been a sort of constant -- and this is over time. It'll vary from year to year, quarter to quarter. But there has been an increase in premium over time. Not going to be huge, but it will add to the growth rate that you would expect on the Life Planner side.
Eric Durant: Jimmy, it's Eric. Let me have at your first question. We had a number of favorable items in the second quarter that may not be trend-able, and that amounted to about $100 million altogether pretax. They would include, in the Retirement segment, non-coupon investment income about $10 million higher than our average expectation. We had favorable mortality in Individual Life, in the Life Planner businesses and in Gibraltar, again with experience being more favorable than our average expectation. The amounts there are $15 million, $10 million and $11 million, respectively. We had favorable seasonality at Gibraltar, as Mark mentioned, that we estimate was about $30 million in comparison to the first quarter and all else the same in comparison to the third quarter. And we had a favorable level of net expenses in Gibraltar of about $20 million. So again, all else the same, you would expect the expenses to be about $20 million higher in the third quarter than in the second quarter. Again, the sum of all these items is about $100 million. It's actually $96 million or about $0.12 a share.
Operator: Next, we'll go to the line of Tom Gallagher with Crédit Suisse.
Thomas G. Gallagher - Crédit Suisse AG, Research Division: Just, first, a quick one on the Retirement business. Just given the visibility that John mentioned to open the call on the deals that have been booked so far in 3Q, in terms of the PRT and the longevity deal, do you have visibility that flows will be meaningfully positive in 3Q? That was my first question.
John Robert Strangfeld: I wouldn't look to characterize our overall Retirement flows in the third quarter, Tom, the way that, for example, the longevity reinsurance deal for BT will show up, as it will show up in our flows and in our account values, but it won't show up on our balance sheet, given the fact that we're not holding assets vis-à-vis that deal. I would also point out that while we're very pleased about the kind of multiple transaction count in the month of July, we think it reflects a good pace of activity and good pace of our profile in that industry. The other 2 transactions, while we're very happy about them, they were significantly smaller. One was a longevity deal for about $1.7 billion, and the other was a funded deal for approximately $350 million.
Thomas G. Gallagher - Crédit Suisse AG, Research Division: Okay. And also just to follow up on the Full Service side. Just given some of the items you laid out on the large cases that went away this quarter or lapsed this quarter, would you expect some improvement there? Or is it just hard to tell, given the lumpiness of that business?
John Robert Strangfeld: I think it is, as you say, Tom, inherently lumpy. The -- what we saw in this quarter was actually, on the Full Service side, some pretty good flow in terms of transaction count and number of deals we closed. However, only one of them was above the $100 million mark that we use to characterize large transactions and that one just barely, while we had 4 lapses that we'd characterize as large and a significant portion of that was driven by M&A activity, in other words, our clients being acquired and the business being merged away from us to the other provider. And that's obviously inherently difficult to predict. But we're -- while we still see this as a very, very competitive business and we do not see that there's any near-term change in the -- in those competitive dynamics, we're pleased with the degree of activity that we see in this business. We're pleased with the condition of our pipeline. I think that's reflective of the investments we've made in the business, so that is encouraging.
Thomas G. Gallagher - Crédit Suisse AG, Research Division: Okay. And then just one last one for me, if I could shift gears to Japan. The -- just, I guess, more of a broad industry question. We're seeing this with peers, too, that the sales environment seems to be becoming more challenging. I'm not sure if that's a function of the currency-related products that were sold and now those have become less attractive or has the competition just intensified. Can you give a bit more color with what's going on, whether it's on the sales front or the recruiting side?
Charles Frederick Lowrey: Sure. I'll take the recruiting first. We don't see in -- we don't see a lot greater competition there because we recruit a very different kind of individual. So what we look for are generally people who haven't been in the insurance industry before but have sales experience that want to do something different, that want to be more in charge of their own compensation structure. And as a result, we continue to recruit a fair number of people. By a fair number of people, meaning the level that we want. So on the recruitment side, we don't see a lot of competition in the vein in which we operate. In terms of products, I would almost say the same thing. There is a fair amount of competition. There's a lot of competition for individual products in the third sector. And in the first sector, if you say just life insurance and savings, we concentrate on Death Protection. That is the core of what we do, and we see less and less people in the death protection market. In other words, a lot of people are moving over into savings products, and savings products are more competitive in terms of pricing. But in terms of traditional life insurance, in which we operate, we -- first of all, we compete as much on service as we do on pricing. And second of all, we are able to hold our prices. So we still feel pretty good about the margins we're getting and the products that we're selling. We have tapped the brake on certain products, as Mark talked about, whether it's the yen retirement income product or in the bank channel, the single-premium yen-denominated whole life. We obviously slammed on the brakes there, but that was our doing for specific purposes. Much have had to do with business mix as opposed to profitability. So on the profitability side, we still feel very good about what we offer, but more importantly, how we offer it. We -- it's a very different kind of sale. We have a needs-based selling process that we started in Japan 25 years ago, and we still adhere to that. So our core is Death Protection. Our core is leads-based [ph] selling, and our core is quality recruits. And we're continuing with that strategy.
Operator: Our next question comes from the line of John Nadel with Sterne Agee.
John M. Nadel - Sterne Agee & Leach Inc., Research Division: A question on Gibraltar, and I know upfront in the prepared remarks you talked about, over time, the life consultant count there starting to stabilize. But as you've implemented these higher production standards, particularly for the Edison and Star consultants, are -- where in the ballgame are you? Are you in the late innings there in terms of stabilizing that agent count? Should we expect that to fall significantly from here still or no?
Charles Frederick Lowrey: Yes. I think you will still see it fall a little bit. I'd say we're in late innings, but we may have some extended innings. So let me just expand on that. In terms of the life consultant count, the rate of decreasing is decreasing, if you will. So we're down 11% this quarter. We were down 14% last quarter, 18% the previous quarter and 20% the quarter before that, so 20%, 18%, 14%, 11%. You can do the math. It's going to continue to come down, and we'll bottom out at some point probably late this year, first half of next year. But it's going exactly as we thought. But interestingly, in terms of the metrics, we're doing well. So in other words, the things that we hoped would happen and expected to happen, frankly, are. So John talked about productivity. Productivity has gone back to the pre-acquisition levels, as we had expected it would. 13-month persistency has increased from 89 -- sort of 89.5% back up to 91%. That's not quite up to the level we had before pre-acquisition, but we're getting back to that level. And finally, the policy -- policies are increasing in size. In other words, the in-force face amount has stayed relatively constant, but the number of policies has decreased slightly. And what that means, it gets back to my previous comment, which is this really makes sense, given the focus on Death Protection, as opposed to Star/Edison, which was really pushing more savings products. So our focus is Death Protection. You're seeing that in the metrics coming out, and you're seeing us, again, focus on quality of life consultants. So numbers will continue to come down for a little while, but they are, as you can see, in the bottoming-out phase. And again, that will probably happen in the next -- by the end of the year, first half of next year, something like that. But this is going all -- along exactly as we planned.
John M. Nadel - Sterne Agee & Leach Inc., Research Division: Okay. That's helpful, Charlie. And then, a question on the Annuities segment. On a core basis, excluding some of these discrete items, it looks like the pretax ROA for that segment continues to run right around 100 basis points. Maybe it's slightly higher than that. So other than equity market performance, is there any reason why that level of ROA for the business should shift from current levels? Would the shift over time, for instance, toward the PDI product, alter this return profile?
Stephen P. Pelletier: John, it's Steve. Equity markets will continue to be the major impact on the ROA going forward, the equity markets, in relation to our expectations. The business is at scale. The business is able to add business flows and account values without significant increase in expenses, so the ROA will continue to benefit from that. The -- in regard to the differentiation between PDI and HDI, those would not make a hugely significant impact on the ROA. There is a differentiation in fee basis between the 2 types of business, but if you're looking at the overall book of business, the -- that would not have a material impact on ROA.
Mark B. Grier: Yes. John, also remember the mix of the in-force. Yes, remember the mix of the in-force. PDI is still small.
John M. Nadel - Sterne Agee & Leach Inc., Research Division: Yes, understood. And then, if I could sneak one last one in for you. Maybe a little bit more philosophical for you on capital management. I know you've talked in the past about wanting to be a consistent buyer of your shares over time. And clearly, since you reintroduced the buyback, $250 million quarter has been right on. I'm wondering how you square that with the fact that your first half results are arguably the best first half -- best 6-month period Prudential has ever had, yet your stock is down 6% year-to-date against the overall market, which is up 4%, and you're underperforming most of your peers. So I'm just curious why you wouldn't advance the pace of your buybacks when your stock is underperforming the way it is.
Robert Michael Falzon: John, it's Rob. I think the simple answer to that question is that we do not use stock buybacks to express a view on the relevant value of [indiscernible]. Rather, what we do is we look at buybacks as a deployment of excess capital that we generate on an annual basis, and we had sort of a waterfall that we've described and how we like to redeploy that. Obviously, it's, first, to finance the internal growth of our businesses; secondly, to provide for inorganic growth, like our PRT business, for M&A; and also, to provide a return to our shareholders. And we do that through the combination of the dividend and the stock buybacks. So not influenced by perception of relevant value of the stock in terms of the priority of how we would distribute that capital.
John M. Nadel - Sterne Agee & Leach Inc., Research Division: No, I guess, I'd just -- I'd ask you guys to consider it. There are times when investors will be more interested in building positions in your stock than at other times, and I think this would be one of those times.
Operator: Our next question comes from the line of Jay Gelb with Barclays.
Jay Gelb - Barclays Capital, Research Division: Mark, can you update us on what you view as the prospects for passage in the House of the bill to create a separate capital standard for the non-bank SIFI insurers?
Mark B. Grier: Well, handicapping the political process is not my cup of tea. I will point out that there's a lot of momentum, significant sponsorship from both sides of the aisle and endorsements of the idea from a lot of different places, not just confined to Congress. But I can't tell you what's involved in making this happen and how that might play out.
Jay Gelb - Barclays Capital, Research Division: Okay. On a related issue, the treatment of corporate bond investments for life insurers without the ability to apply ratings from the rating agency seems to be something that needs to be addressed over time. Do you have any ideas on how that could be taken care of?
Mark B. Grier: Well, let me start, and then I'll hand it over to Rob. There are approaches to this credit evaluation and link of solvency and capital that reflect the things that we think are important, particularly the probability of default and loss given default. And I'll let Rob add some comments to that.
Robert Michael Falzon: Yes. So first and foremost, we expect that credit quality-sensitive capital construct for insurers would have to evolve. It would be imprudent for something other than that to manifest itself in sort of whatever regulatory outcome occurs here. With respect to the reliance on the rating agencies, there is a number of ways to do a workaround around that. Specifically within our own organization, we have internal ratings for all of our privates, including both the corporate bonds and the mortgages that we underwrite. And on the public side, we have mechanisms for being able to back into equivalent ratings without having to have to rely on the rating agency ratings themselves. And I suspect other institutions can get to the same place as well. So we don't view the lack of our reliance -- or the lack of the ability to rely specifically on the rating agencies to be -- as being an impediment to having a credit-sensitive metric ultimately put in place.
Jay Gelb - Barclays Capital, Research Division: Okay. So that should be able to have a workaround related to -- for the regulators treating all bond investments the same, regardless of rating, at least from an external rating standpoint?
Robert Michael Falzon: We certainly would think so.
Operator: Our next question comes from the line of Steven Schwartz with Raymond James.
Steven D. Schwartz - Raymond James & Associates, Inc., Research Division: A couple of questions going back to the BP [ph] pension -- longevity deal, excuse me. First, I'm flashing [ph] on Met's [ph] Investor Day and former CEO talking about problems in the U.K. with regards to regulation in that marketplace. It has become -- it had become significantly more difficult, significantly more conservative. Is that something that has not occurred on the longevity side?
Stephen P. Pelletier: Steven, it's Steve Pelletier. I'd make a couple of comments. First of all, remember that in longevity, we are focusing purely on just that, on longevity reinsurance and not taking on the assets. Second, I'd emphasize the point that in these transactions, both the BT deal and the other longevity deal that I mentioned, we are operating strictly on an offshore basis. And that is a key distinction there. The regulatory picture is very different for us given that posture.
Steven D. Schwartz - Raymond James & Associates, Inc., Research Division: Okay, got it. And then, just one more quick one on the accounting for the longevity deal. I think you said that it was going to be in your flows, but -- the $27 billion I assume, but not on the -- not in your balance sheet. How will this be reflected in the earnings statement? Is it a premium and an associated loss? Or any ideas?
Robert Michael Falzon: It's Rob. Essentially, you'll see a net fee coming through each quarter, representing the -- sort of the risk premium fee being applied.
Steven D. Schwartz - Raymond James & Associates, Inc., Research Division: Okay. Plus whatever the payments are, I guess. Or is that netted out?
Robert Michael Falzon: Well, the payments will be in exchange of the premium payments and then any benefit payment outflows that we need to make in accordance with fulfilling our obligation.
Operator: We'll take our final question from the line of Eric Berg with RBC Capital Markets.
Eric N. Berg - RBC Capital Markets, LLC, Research Division: I just had one question that I'm hoping you can elaborate on, something that perhaps we've touched on in the past in this forum, which is the changing mortality tables, or the changing lifespan tables that are coming in the pension area. While I realize that, that's not going to affect company's cash immediately as they restate their liabilities upward, it's going to have the effect of, all else the same, increasing underfunded-ness as the Society of Actuaries table is instituted, I guess, at the end of this year. My question is, what's your best sense of how plan sponsors will respond? Will they adjust to this change by just putting more cash into their plan? Or will they say, "We've had enough of this underfunded-ness," and they'll do more pension risk transfers? How will the typical CFO or Treasurer respond to this change in mortality table?
Stephen P. Pelletier: Eric, it's Steve. I assume there will be some degree of response that covers both the bases you mentioned. But we certainly do look for the new mortality tables to, across -- pretty much on an overall basis, increase propensity to transactions. We think that aside from funding levels, there are a couple of -- as we highlighted on Investor Day, there are a couple of fundamental things going on in the marketplace in terms of how plan sponsors look at this liability. One is the new mortality tables, and the other is PBGC premium. And so we think that the ongoing trends on both those fronts will increase propensity to transact.
Mark B. Grier: And this highlights longevity risk, and one of the big motives for transacting is the pure risk dimension. And this kind of puts it right in front of everybody again.
Operator: And ladies and gentlemen, today's conference call will be available for replay after 1:30 p.m. today until midnight August 14. You may access the AT&T teleconference replay system by dialing 1 (800) 475-6701 and entering the access code of 314091. International participants may dial (320) 365-3844. That does conclude your conference call for today. Thank you for your participation and for using AT&T executive teleconference service. You may now disconnect.